Operator: Ladies and gentlemen, thank you for standing by. And welcome to the FIS First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today’s conference is being recorded.   I would now like to hand the conference over to your speaker, Mr. Nathan Rozof, Head of Investor Relations. Please go ahead, sir.
Nathan Rozof: Thanks, Siri. Good morning and thank you for joining us for the FIS first quarter 2022 earnings conference call. The call is being webcasted. Today’s news release, corresponding presentation and webcast are all available on our website at fisglobal.com. Gary Norcross, our Chairman and CEO will provide a business and strategy update, Stephanie Ferris, our President will discuss our operating performance, Woody Woodall, our Chief Financial Officer will then review our financial results and provide forward guidance. And finally, Erik Hoag, our Deputy CFO will also be joining the call for the Q&A portion. Turning to Slide 3, today’s remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language. Also, throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, adjusted net earnings per share, and free cash flow. These are important financial performance measures for the company but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information the GAAP financial information are presented in our earnings release. With that, I’ll turn the call over to Gary. Gary?
Gary Norcross: Thanks, Nate. And thank you for joining us today. Starting on Slide 5, we had a strong start to the year significantly exceeding our revenue expectations and achieving the high end of our EPS guidance. Revenue increased 9% organically to $3.5 billion and adjusted EPS increased 13% to $1.47 per share.  All of our segments beat our organic growth expectations in the quarter. Banking grew 7%, exceeding our 6% expectation, merchant grew 15% versus our low-double digit expectation and capital markets grew 6% with 8% growth and reoccurring revenue.  New sales increased our backlog 8% organically to $22.5 billion. This consistent strengthened backlog aligns with our midterm outlook for 7% and 9% organic growth, and our sales pipelines remain strong. I'd like to thank the team for their sharp focus on serving our clients and for their continued execution.  Turning to Slide 6, the pace of change in our industry is very exciting. We've invested ahead of this change and throughout the pandemic to position FIS for success. We moved our technology infrastructure and application architecture to the cloud. And we continue to bring new or significantly upgraded solution suites to market.  In banking our multiyear investment strategy has positioned us with the best-in-class capabilities across core and digital banking, issuer processing and wealth management. We further expanded the modern banking platform geographic reach this quarter by enabling public cloud deployments with Microsoft Azure. This will expand our reach into key markets like the UK, Thailand and New Zealand.  Our team has also successfully launched our new Banking-as-a-Service hub. This platform offers an all in one finance experience for our clients, and enables them to rapidly create and deploy new embedded finance offerings for their customers. We’ve recently formed a partnership with Circle to enable our merchants to receive settlement in USD coin, and crypto.com will be our first pilot customer.  In addition to our ability to quickly deploy advanced technologies, international reach is also a true differentiator for us. Our merchant business added seven new countries in 2021, and plans to add 15 more by the end of 2023. In keeping with the crypto theme, capital markets recently announced a new partnership with Fireblocks to enable our clients to store and issue digital assets, as well as to gain access to decentralized finance.  Across multiple verticals, industries and client types, we continue to develop mission critical systems at global scale that empower our clients to innovate and grow. The power of FIS doesn't stop with our ability to deliver unique solutions. The true value unlock is leapfrogging from leading solutions for individual client types to offering expansive embedded finance experiences that can bring all of our capabilities to bear for every client.  We have technology platform initiatives underway to simplify the consumption of our cloud native capabilities, either as an end-to-end solutions, or as individual components. More and more clients are asking for access to solutions from all three of our operating segments to enable robust transformations across their enterprise. These initiatives will speed access for them and open up rich new revenue streams for us.  We are also evolving our go-to-market strategy by aligning our sales organizations to directly target these new opportunities. Despite market fears about disruption, at FIS, we think we are the disrupter. And we will help our clients win now and into the future.  With that, I'll turn the call over to Stephanie describe how this vision is translating to our operating segments and to review their first quarter performance.
Stephanie Ferris : Thanks, Gary. And good morning, everyone. This was an exciting quarter with momentum building for our new solutions as Gary discussed.  Starting with banking, on Slide 8, we continue to see elevated organic growth posting our sixth consecutive 5% plus revenue growth quarter, which is well above the historical trend. Clearly our multiyear investment strategy is paying dividends.  To bring our vision to life. I'd like to highlight a few strategic new wins, which are a direct result of our technology investments. Payments One is the most advanced scaled issuer processing platform in the market. We've migrated approximately 1,500 of our existing clients to this platform, and we continue to leverage its unique end-to-end capabilities to win new clients.  In the quarter a top-20 U.S. financial institution selected payments one for debit processing and card production. We remain differentiated with our issuer processing capabilities and believe we have significant TAM to capture with this innovative platform.  In addition, we're making significant investments in our wealth management platform, gaining a second landmark win with Mutual of America following our T Rowe price win last year.  And then a third example our premium payback loyalty network is a truly unique solution that combines our strengths and issuing and acquiring to enable consumers to pay with points in store at the point of sale.  This quarter, AT&T decided to join our loyalty network, and consumers will be able to use points from participating issuers to pay in AT&T stores. As retailers and issuers continue to join, we expect a powerful network effect.  Capital markets grew revenue 6% organically as shown on Slide 9. Our team continues to transition the business to SaaS based revenue models, which drove recurring revenue up 8% in the quarter. Transitioning to SaaS not only increases the predictability and resiliency of growth, but also allows for incremental cross-sell opportunities as clients look to transition to the cloud.  We've made significant investments in our transfer agency solution to create an as-a-service offering that drives efficiency and automation.  Similar to banking. We had a second landmark win this quarter with a leading financial institution with more than $1 trillion in AUM, continuing the momentum from our Franklin Templeton win last year. This win builds on a longstanding core processing relationship and we were thrilled to enhance our value proposition by bringing them even more breadth of capabilities.  We also saw strength with privately held investment firms. Our investment operations suite drove capital markets’ largest ever private markets deal with a premier high net worth multifamily office that will leverage our technology suite to transform their operations.  Finally, we expanded our relationship with Robinhood in the quarter to empower their new stock loan income program. This expanded relationship helps cement our long-term vendor of choice partnership with Robinhood, where we continue to expand our value proposition across traditional and digital assets for this client. Overall, our end to end SaaS solutions are differentiated in the market and will continue to drive strong growth for capital markets.  On Slide 10, our merchant segment generated 15% organic growth this quarter. And our Payrix acquisition is already paying off by signing several SaaS based platforms in the quarter. Payrix more than doubled their client count is compared to last year and we highlight a few recent wins, with platforms spanning the education, commercial and marketplace verticals on the slide.  We also continued our success as a leading acquirer for crypto. Currency.com signed with us this quarter after witnessing our capabilities and client service for another crypto exchange. They were further attracted to our expansive global reach, which will help them expand their own business.  Lastly, The Nielsen Report recently published their 2021 U.S. merchant acquirer ranking, which highlighted the strength of our e-commerce and software-led strategy. Our share of total U.S. volume increased by approximately 200 basis points to 20% in 2021 from 18% the year before. I couldn't be prouder of our team, the pandemic put them to the test and they continue to put our clients first and execute at the highest levels.  I'll wrap up by sharing the performance of our sub-segments on Slide 11. Global e-commerce continues to be our fastest growing business with 23% growth on a constant currency basis. As anticipated, travel rebounded strongly in the quarter exceeding 2019 levels. Our large enterprise business grew 14% organically and continues to be a differentiated source of scale. Lastly, software led SMB grew 13% organically with restaurant and retail both growing double digits.  With that, I'll now turn the call over to Woody to discuss our financial results. Woody?
James Woodall : Thanks, Stephanie. Thank you all for joining us today. I will begin with our financial results on Slide 13. And I'll touch on our balance sheet and cash flow before taking you through our guidance.  We're very pleased with our 9% organic revenue performance and the strong results achieved across all of our operating segments. We maintain consistent margins year-over-year, as we were able to successfully offset wage inflation and difficult comparisons including last year's stimulus related revenue. This translated to 13% adjusted EPS growth, which is consistent with the high-end of our full year guidance range.  Turning to our segments, banking revenue grew 7% on an organic basis, primarily due to continued client demand. Adjusted EBITDA margins contracted 90 basis points to 42%. The banking segment is where we experienced the majority of our margin headwind as it directly benefited from the Paycheck Protection Program or PPP revenue in the prior year and was impacted by higher labor costs.  Merchant revenue grew 15% on an organic basis, reflecting strong results across all three sub segments. As Stephanie mentioned. Merchant adjusted EBITDA margin expanded 30 basis points to 47% primarily due to high contribution margins on new revenue growth. Capital markets revenue grew 6% on an organic basis primarily due to continued strong new sales and the transition to SaaS driving higher recurring revenue. Capital markets’ adjusted EBIT margin expanded 60 basis points, to 47%, primarily due to its continued operating leverage.  Turning to Slide 14, we generated $786 million of free cash flow during the first quarter. Free cash flow increased by 41% year-over-year. We have invested heavily in innovation over the past five years bending over $5 billion in CapEx over that time. We believe that this investment has peaked as a percentage of revenue, and expected to come down gradually over the next several years to approximately 6% to 7% of revenue. As a result, we expect free cash flow conversion to expand in subsequent quarters, and we remain on track to expand our free cash flow conversion toward 95% of adjusted net earnings for the full year.  We increased our quarterly dividend by 21% to $0.47 per share, and we returned a total of $287 million in dividends to shareholders this quarter. As a reminder, we plan to increase our dividend by approximately 20% per year in order to gradually grow our dividend payout ratio over the next several years to approximately 35% of adjusted net income.  In addition, we reduced debt by $1.2 billion, including repayment and foreign exchange benefit ending the first quarter at three times leverage, which was a full 90 days ahead of schedule. We expect to maintain our leverage below three times and we'll resume share repurchase in the second quarter. At current valuation levels, we believe share repurchases the best use of excess free cash flow. We expect to buyback approximately $3 billion in shares during 2022. We also anticipate utilizing excess free cash flow in 2023 to buy back shares. At current course and speed, this will be approximately $6 billion in share repurchases during 2023. Combined, this represents approximately 15% of our current market cap. Turning to Slide 15 to review our guidance. There is no change to our full year outlook. We achieved a strong start to the year and remain on track to deliver 7% to 9% organic revenue growth 50 to 100 basis points of adjusted EBITDA margin expansion, and 11% to 13% adjusted EPS growth for a range of $7.25 to $7.37 per share. The primary risks and opportunities to our forward guidance include the impact of foreign exchange rates, geopolitical risk and the pace of pandemic recovery. Combined with the upside we delivered in the first quarter, we believe that this supports maintaining our outlook for the full year.  For the second quarter, we expect organic revenue growth of 6% to 7%, consistent with revenue of $3.65 billion to $3.685 billion. We expect adjusted EBITDA margins of approximately 44% resulting in adjusted EPS of $1.72 to $1.75 per share.  Given the unusual puts and takes that are affecting organic growth rates from banking and merchant, I would like to provide you with some more color on our segment assumptions for the second quarter. In banking we currently expect organic revenue growth to be in the mid-single digit range for the second quarter. This is primarily due difficult compares created by the termination fees and pandemic related revenue that we generated last year. We anticipate a similar growth profile of mid-single digits for our capital markets segment in the second quarter.  For merchant, we currently expect organic revenue growth approximately 9% to 10% in the second quarter. This equates to strong sequential growth of approximately 15% for merchant. In addition, we expect adjusted EBITDA margins to step up each quarter throughout the year. Lastly, we include assumptions for FX, corporate and other and several below the line items within the Appendix section of our presentation.  In conclusion, I would like to thank our colleagues for their continued efforts and perseverance to the pandemic. You continue to executed at a high level and generate strong financial results.  Operator, would you please open the line for questions?
Q - George Mihalos: Great, thank you. Good morning, everyone. Thanks for taking my question and congrats on the on the results. I think you're -- just to kick things off. On the merchant side, the yield was strong. It was somewhat stronger than what we expected. Any reason why that should not continue throughout the course of the year or some of these verticals like travel come back.  And then Stephanie, you talked about crypto and obviously your strong exposure there? How is that performing? And how are you thinking about that over the remainder of the year?
James Woodall : Stephanie, I'll take the yield question, and you can work on the crypto.
Stephanie Ferris : Yep.
James Woodall : George, we do anticipate yields to be a positive benefit to revenue over the course of the year. As we highlighted, really over the past 18 to 24 months, as certain verticals came off, the yields came off heavily. We saw yield benefit as those verticals are coming back online. Travel and airlines is a perfect example that we've been highlighting. Again, we do anticipate travel and airline to be a tailwind over the course of the year. And we anticipate yield benefit throughout 2022.
Stephanie Ferris : Yeah. And then in terms of crypto, George, as you know, we've been talking about this for a while. We processed for the top four out of five largest crypto exchanges. They come to us because of the level of authorization and fraud rates that we can provide for them in terms of being benefits, but also because we're a large scale provider for them. And so you're continuing to see us take share in the crypto vertical. We really like the crypto vertical. You saw us sign a partnership this quarter with Circle, which is going to -- we will be the first provider of USDC crypto capabilities.  So this is a really exciting vertical for us in our global e-commerce business. It continues to demonstrate the strength and differentiation of our e-commerce business. And we continue to be really excited about it.
George Mihalos: Appreciate the color. And just as a quick follow-up. Obviously, there's a lot of attention on e-com nowadays with some of your peers reporting on what might be happening with the grow-over in that market. How Stephanie, are you thinking about the opportunity for e-com, both for 2022 and longer term? Do you feel any differently about the growth trajectory within that sub vertical?
Stephanie Ferris : No. I think we -- this is obviously a very differentiated asset for us across the company. And given the size of the TAM and the growth of the TAM in e-commerce, this has been a strategic imperative for us and will continue to be.  We think about this business in terms of continuing to expand geographically as well as adding APM. As you know, we are one of the two largest providers in this space, and it's growing significantly. We continue to take significant share. We really like what's going on in the global e-commerce space. We bought the Payrix asset so we could start to access SMB because we really have been up in the global space only, global launch of multinational. And so this is a place you're going to continue to see us double and triple down in terms of investment and focus. So we continue to be really excited about it.
Gary Norcross: Yeah. The only thing I would add to that, George, I mean we did expand geographically by seven countries. We've got another 11 countries on target through 2023. If that continue, it will also accelerate the growth. So we feel very good about the guide we've given an overall merchant, and the e-com is going to be -- continue to be the fastest-growing segment within it.
George Mihalos: Thank you. 
Operator: Thank you. Next question will come from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller : Hey, guys. Thanks and nice job. I want to touch on the banking segment just because, again, I see it as still the largest category of your business. When we look at the sustainability to growth, obviously, it's been strong. It came in a little better than our estimate this quarter. If you could remind us on the confidence level and why the conviction is there for that elevated growth rate, and maybe it's the pipeline you're seeing or the backlog to sustain itself for the next couple of years. Gary, I know we've touched on this, but more color on that now would be great.  And then if you could also remind us on breaking down that. It's not just core banking or even bank. There's also issuer processing in there. The other pieces would be helpful to understand also.
Gary Norcross: Yeah. Look, Darrin, we appreciate -- first, we appreciate the non-merchant question. That's great. Obviously, we couldn't be more bullish on the banking business and how it's performed over the years. If you look, you've seen consistently strong execution in the sales pipeline. You've consistently seen strong building of the pipeline as well to replace the signings throughout the quarter, and we've seen strength over that, over the last four-plus years.  The backlog grew about 8% this year, which should give everybody confidence of the future opportunity in banking and capital markets, because predominantly those are the two businesses that contributed to that backlog number.  We are seeing strength across all of our categories. Our issuer business has just done a really, really great job. Our leader there, who's running our issuer business, have done a phenomenal job. You continue to see it take share. Stephanie highlighted a really significant win on the issuer side, all around our Payments One category, which we launched payments on almost three years ago. It's the most advanced issuer platform in market. If you look also what's contributing to that growth, you're seeing a lot of acceleration in our Digital One offering, which is really the third generation of digital experience. It's a true omnichannel deployment that we're now rolling full in market. We've seen a lot of growth in that over the last 18 months. Of course, this all started with our Code Connect offering, which is the most open micro services, API layer in industry.  And then you culminate that with what we're seeing in modern banking platform. We've seen some really strong wins in NBP. We have now a number of those customers live in production and more coming in, and the pipeline is very full on that. And as we highlighted, we've now enabled that on Microsoft Azure, which allows us to push out of the U.S. more effectively.  So all of that should give everybody confidence that banking has truly been structurally transformed since it stays at growing in low-single digits, and it will continue to perform very strong given the backlog signings and the future pipeline. So we feel great about the business.
Darrin Peller : All right. Thanks, Gary. It's great to see the transition. Just a very quick follow-up, Woody, on margins. I mean we had thought you guys would be looking at more like a 43% margin for Q2. It looks a little better. Maybe just if we could touch on the components of the confidence on margins from here through the rest of the year. And thanks again, guys. 
James Woodall : Yeah, thanks. It's a good question. We do anticipate it will be about 44% in the second quarter. I think you are seeing some difficult comps in banking as we highlighted, between term fees as well as some of the stimulus related revenue from the prior year. That said, we are seeing good yields across merchant in the first quarter. And we anticipate that to continue to go forward and feel good about ramping margin over the entire course of the year as we lap those difficult comps in the first half of the year in banking primarily.
Darrin Peller : Got it. Thanks, guys. 
Operator: Thank you. Our next question will come from Rayna Kumar with UBS. Please go ahead.
Rayna Kumar : Good morning. Thanks for taking my question. Just starting with the bank technology business. Are you seeing any change in the competitive environment there, having any international players trying to enter the U.S.? And secondly, could you just help us understand the pricing trends for some of your largest FI clients over the next six to 12 months?
Gary Norcross : Yeah, Rayna, it's a great question. I'll start, and Stephanie can add to it if she would like. Look, Banking has always been a highly competitive marketplace for us. We've had a number of non-U.S. companies trying to break into the U.S. for years. Frankly, the sophistication about the regulatory requirements have always been a deep moat to entry. But also, Rayna, we absolutely participate really in the upmarket. So the larger the financial institution, the better.  And then you just get differentiated, highly differentiated by scale. Our ability to square off against some of the largest banks in the country, right, with the complexity of solutions, it's more than just core banking. You have to bring robust issuer processing. You have to bring openness. You have to bring a robust professional services grouping. So we feel very good about our competitive position. Are we seeing it more competitive than we have in the past? The answer is no. It's always been competitive. And we've always done very well against that competition. When you think about pricing, all of our contracts are long-term in nature. Most of them have consumer price index adjusters in them. So as you start seeing CPI increase in inflation, you'll see that translate through our pricing models around per account, per transaction. So we do get coverage there as well. But we're not seeing an increased price competitive front. It's always been -- as I said, it's always been competitive, and we're not seeing any more increase in competition we normally do. We will say, the demand continues to go up. I've talked a lot about this on multiple calls. We're really at an inflection point where a lot of financial institutions have really held on too long with their legacy technology. And so, people are now pressed up against a timeline where they're going to have to start making some decisions. They're going to have to embrace cloud computing. They're going to have to embrace omnichannel. They're going to have to embrace openness. And that really plays in to the significant investment we've made over the last 5 years that Woody highlighted in his prepared remarks.  So all of that compounds, we really feel good about our position in the banking business.
Stephanie Ferris : Yeah. I think I might add, we just had our client conference a couple of weeks ago. And the two points that I think are really relevant here. One is the financial institutions, at least within the United States, are very strong coming out of the pandemic. I also think, to Gary's point, the pandemic has driven home from them the need to be digital and omnichannel because folks are struggling to come back into the banking centers.  And so that is really contributing to Gary's point around demand. Demand is very high in terms of needing to be omnichannel, digital and driving the next gen technology. That's absolutely being recognized out there given the post-pandemic situation.
Rayna Kumar : That's very helpful. And then just a quick one on merchants. Given the recent reduction by Visa on the U.S. interchange for SMEs, do you expect a benefit to your Merchant margin going forward?
Stephanie Ferris : Yeah. I mean we always get a slight benefit there. We don't think it's going to be material, but there is a benefit. Whenever there's pricing changes, obviously, we look and make sure we pass those along and then take an opportunity if we can, but we don't believe it to be material.
Rayna Kumar : Great. Thank you. 
Operator: Thank you. Our next question will come from Jason Kupferberg with Bank of America. Please go ahead.
Jason Kupferberg : Good morning, guys. Thanks. I just wanted to start on U.S. merchant volumes. I think they were up 10% year-over-year and down 10% quarter-over-quarter, if I'm not mistaken. So somewhat below the industry, I suppose. I'm just wondering if crypto is perhaps a callout there? Or is it just kind of a function of your debit mix has always been pretty high, and I know industry comps were just tougher on debit relative to credit, would just love some perspective there.
James Woodall: Yeah, I'll start, and then Stephanie can add on. Our volumes grew 10%, which, at the end of the day, really reflects the underlying mix in our business. We are under-indexed in SMB. We've got a heavy enterprise-based business. If you look at that compared to the fourth quarter, you have holiday spending in those big box. You have holiday spending in grocery, which we saw in the fourth quarter, that coming down a little bit. Obviously, we saw travel as a benefit in the first quarter. So there are puts and takes in there. At the end of the day, we always get the question around, are you losing share? We tried to highlight it very specifically. The Nilson Report showed that we gained two points of market share by volume for full year 2021, which is probably the best objective evidence or piece of evidence we can have that we're not losing share here. This is just seasonal movements, where we see the first quarter always a little lower than the fourth quarter. And at the end of the day, it's resulting in positive yields as well, where we saw double-digit growth in every segment and 5 points of yield during the first quarter.
Gary Norcross: I mean, look, Jason, if you play in the enterprise space, you're going to have -- your biggest quarter is going to be Q4 because of holiday season. So I mean, you're just naturally going to see a drop in transactions and volumes going into Q1. To Woody's point, this is nothing more than normal mix that you would see in any Q4 to Q1.
Stephanie Ferris : Yeah. I mean I think as the veteran merchant in the space, seasonality from Q4 to Q1, that's what this is.
Gary Norcross : That's right.
Stephanie Ferris : So if you thought about 17% in the fourth quarter, it's really 11% constant currency. We -- there's a natural decel from retail and grocery, which is about 6 percentage points. That's very natural for this portfolio. It has nothing to do with share loss. And then we benefited a point from travel and then there's this and that.  So this is a seasonal thing. I know we like to talk about disruption a lot. There's seasonality in our portfolio. If you go back before 2019, you'll clearly see it. And to Woody's point, from a Nielsen’s standpoint, we're not losing share. We picked up share, but we know this is a favorite topic of everybody. So hopefully, that helps knit that number now.
Jason Kupferberg : Yeah. No, that helps a lot. I know you've got the snapback in Q2. I think you said about 15% quarter-over-quarter growth in merchant.
Gary Norcross: That's right.
Jason Kupferberg : So thanks for that. And just on the revenue growth outlook for the year, I know you're absorbing another, I think, $65 million of FX headwind, but obviously did not change the absolute dollar range for the year. And I'm just wondering if you're also absorbing any headwind from Russia in that number? And are you just kind of flowing through the outperformance from Q1? Or it's nice to see that there seems to be some offsets to the headwind. Or would you point us to the lower part of the range just because of some of these incremental headwinds? Thanks. 
James Woodall : Yeah. I tried to highlight in the prepared remarks, we are seeing some potential headwinds from FX. We highlighted at a previous conference that Russia, Ukraine and the impacts of that on the Merchant business, we think we’re about a point of headwind in the merchant business. That said, the over performance in Q1, we're very pleased with the start to the year. And you adding all those together, we have not changed the full year outlook on any front there.
Jason Kupferberg : Okay. Terrific. Thanks. 
Operator: Thank you. Our next question will come from David Koning with Baird. Please go ahead.
David Koning: Yeah, hey, guys. Thanks. Nice job. And I guess my -- yeah, sure. And first question, just when we think about the merchant mix of enterprise, SMB, e-comm into the back half, I guess, a couple of things, do you still expect kind of low-double digit growth for merchant overall in the back half? And then is the mix going to be pretty similar, like low -- as what it was this quarter that e-com is going to be a little better growth and the other two are going to be pretty similar?
James Woodall : Yeah. I think e-comm will continue to be our highest grower over the course of the year. No doubt about that, Dave. You've got some comparables as we go through the remainder of the year as we tried to highlight, and I think some of the earlier questions highlighted that. We're talking about 9% to 10% growth in the second quarter and still looking at double-digit growth for the merchant business for the full year.  So no real change there. There may be some movements, as you see, again, quarter-to-quarter as these comps kind of settle out and we get into a new norm as we go forward here. But e-com will continue to be our highest growth sub-segment.
David Koning: Yeah. Okay. And then just one kind of nerdy financial question. It looks like in guidance, the back half D&A is lower than the first half. Is that right? And does that mean growth into 2023 is not going to be that big? That's a pretty big kind of driver for EPS next year if we could keep that low.
James Woodall : Yeah. A couple of things there. We're seeing CapEx come down over the course of the year that we highlighted. We anticipate seeing CapEx rolling into '23 and beyond in kind of the 6% to 7% area. So that, combined with really -- you saw some impairment last year of some assets that obviously will benefit D&A going forward into the '23 zone and going forward. So that's the primary change there, Dave.
Gary Norcross: Yeah. I think if you look at the first quarter number, we're expecting modest growth sequentially from here, consistent with Woody's comments.
David Koning: Yeah, all right. Thanks, guys. Nice job. 
Operator: Thank you. Our next question will come from Lisa Ellis with MoffettNathanson. Please go ahead.
Lisa Ellis : Hey, good morning. Thanks for taking my question. I was going to ask one or two on the banking solutions segment as well. Following up on Darrin's earlier questions, can you talk kind of stepping back post-pandemic, one, the demand environment, who are you winning against in that market? Are you primarily still winning against in-house displacements of legacy systems?  And then my second question related to that is that, that business has historically been a U.S. business, but with the migration to the cloud and maybe some broader regulatory changes around the world, is there an opportunity over time for that business to expand internationally? Thank you.
Gary Norcross : Yeah, Lisa. Let me start. The competitors differ depending on size of institution. So as you're dealing with large regionals or large national financial institutions, we're competing much more with in-house developed typically with a very old legacy core system at the center of their in-house development exercise. And that's the predominant competition we would see. You would see people going through an analysis. Do we try to build it again like we did 40 or 50 years ago? Or do we partner with a company like FIS?  You'll see certain startups in there, but frankly, the start-ups don't have near the scale or the technology to be able to deliver for all the answers I gave you and Darrin. As you move down market and as you move into small regionals, large community banks, community banks, call it that $5 billion and greater, you would see classic competitors of Fiserv and Jack Henry in that space competing there as well. Once again, as you start looking, our market share grows as you get larger and larger end market. So as people combine together, you're still seeing M&A activity a lot in the banking space as they continue to grow through M&A and through just their organic growth efforts and they get larger, we become the more natural landing spot. Once again, back to the sophistication of the solution, the breadth of the capabilities, our ability to allow them to have flexibility to run their business, whereas when you're in smaller community banks, you have a much more one-size-fits-all approach. As we move down in community bank markets, we also have capabilities there. And once again, small -- in traditional community banking, we do very well. But that's when you really do just start seeing the traditional competitors. As far as your global question, your non-U.S. question, we think it's a great one. We have traditionally -- we've been outside of the U.S. in our banking business for a number of years, but it has not been a strategic focus given the level of activity we've seen in the U.S. markets. We've really pivoted that whole banking business and accelerated its growth rate just off U.S. focus. We do think our new technologies, whether it's the modern banking platform, whether it's Payments One, whether it's Digital One, and Code Connect do allow us to expand on that. We highlighted this quarter, we just certified our MVP platform on the Microsoft Cloud. That's going to help us move into a couple of other countries. And I do think it will be -- we do think it will be a contributor to our -- further accelerate the growth for the Banking business going forward.
Lisa Ellis : Super helpful. Thank you. One quick follow-up just on Payrix. Can you just clarify how that -- how Payrix is integrating into the U.S. SMB business? I guess I was just looking at Slide 11, and it looks like at least on the slide, you've got a group with the global e-com business. But is it operationally integrated into your small business, business and sort of cross-selling into that existing base?
Stephanie Ferris : Great question, Lisa. So the way we thought about Payrix is enabling us to embed payments and access SMBs and card-not-present. So it's really a strategy that actually covers both in terms of it accesses the e-commerce market for SMBs.  Technically, it's going into the e-commerce segment. So as you think about the e-commerce segment, it's all things, both large and small.  Now strategically, your point is a good one, which is if you said, okay, what are you thinking about your software-led business, which is the traditional ISV business, we are taking a look at that and determining which of those clients would want to transition to an embedded payment strategy or stay with an integrated payment strategy. So the way we think about SMBs these days is you can have a traditional integrated payment strategy. Now you can have an embedded payment strategy. And so it adds to that SMB capability. But as you know, our SMB, our software-led SMB strategy today has been card-present. And so Payrix really opens up the card-not-present piece, and we are booking that into the e-commerce segment to keep it pure.
Lisa Ellis : Got it. Terrific. Thank you. 
Operator: Thank you. Our next question will come from Jamie Friedman with Susquehanna. Please go ahead.
Jamie Friedman : Hi, Gary, Stephanie, Woody, complements on the slide deck. I really like this Slide 6 enterprise use cases. But I had a question on the macro. So Gary, I heard in your commentary about bank IT budget from the macro. But is there any high-level assumption? I know you're not -- you don't have a crystal ball, but at a high level on management's macro outlook for say, merchant on the macro side?
Gary Norcross: Yeah. Look, I think we see a real good opportunity in our merchant segment. We are really good about -- we feel great about our e-commerce, our enterprise segment. We feel good about the Payrix acquisition and helping us in the SMB market with card-not-present. Clearly, you're seeing mix issues as we come out of the pandemic, but we continue to take share in the enterprise and e-commerce. The Nilson ratings substantiate that.  So we feel very bullish on the overall merchant business and feel very comfortable with our guide on that, not only this year but going into the next several years. So I think we're very well positioned.
Jamie Friedman : Okay. And then just so we can harmonize the models, Woody, with your prior commentary about the impact from Russia and FX. Because those did seem to deteriorate relative to the prior guidance. I mean just so I hear you right, you, for '22, are maintaining the guidance despite those incremental headwinds?
James Woodall : That is correct. That was a very specific call out in my prepared remarks. If you go back and look, we are maintaining the guide as is right now.
Jamie Friedman : Got it. Thank you. I’ll jump back in the queue. 
James Woodall : Thanks, Jamie. 
Operator: Thank you. Our next question will come from Ashwin Shirvaikar with Citibank. Please go ahead.
Ashwin Shirvaikar : Thanks. Hey, Gary, Stephanie, Woody. Hey, good to speak with you today. I wanted to start with the free cash flow question. I guess, in seasonal terms, this was a better quarter. But could you maybe talk to the dynamics of getting to 95% conversion? And then from a use of cash perspective, does the -- I guess, over-indexing on return to shareholder imply that you're stepping away potentially from M&A? Or is tuck-ins still in the picture?
James Woodall : Yeah. Thanks, Ashwin. On free cash flow itself, first quarter for us is typically a lower conversion quarter in general as we think about shape of the year, every year. Last year and this year, we had some timing around working capital, so you saw a very good growth year-over-year in the first quarter of about 41%. Again, that translated to about 87% conversion of free cash flow to adjusted net earnings. It gives us a high level of confidence in getting to that 95% of adjusted net earnings for the full year as we'll see conversion increase over the course of the year, like we normally do. You combine that with the commentary around our capital -- CapEx investment that has peaked as a percentage of revenue, and we anticipate it actually to come down a little bit more over the course of the year. We're looking at '23 forward, we're looking at more 6% to 7% CapEx. So those items combined give us a lot of confidence in that 95%, again, with only 87%, just a few points below the 95% even in Q1. So feel very good about that outlook there. Gary, if you want to touch on the sort of M&A versus share buyback that might be great.
Gary Norcross: Yeah. Look, I mean, Ashwin, our view on this hasn't changed. I mean given the current valuations of our stock, given the current dislocation of where we think the share price of trade, that the best use of cash on a derisked return is buying back our own shares. With that being said, we have traditionally done M&A as a company. And so it's been a key component of our strategy. And obviously, we want to make sure that we continue to watch what's going on in the market.  But right now, we feel very good about our competitive position. We feel we're strong across all three of our segments are executing very well. As I said, Nilson should substantiate this share loss narrative in Merchant. You see what we're doing in the Banking business. And let's not forget about our capital markets business from that performance, which shows the strength of the overall capability and the strength of our go-to-market and the strength of our execution.  So right now, the best use is certainly deploying that capital through share repurchase. As we get a recovery in our stock price, we would certainly look to, at some point in time, open up our lens again and start thinking about M&A and what are new markets we could possibly break into or new capabilities that we can put through our distribution channel to further accelerate growth from here. But at this point in time, we're very comfortable with share repurchase and obviously, returning cash to our shareholders through our dividend, which we increased 21% as well. And as Woody said in his prepared remarks, we're prepared to do that again at the early next year as well. So hopefully, that gives you context.
Ashwin Shirvaikar : Yeah. No, that's very useful. Thank you. And if I can maybe ask on capital markets, 6% growth, but the report that you want to grow faster is 8% growth. So that's good. If you could remind us what the SaaS-based recurring revenue percent is? And when you highlight some of the notable wins, that transfer agency and private markets and so on. If you could talk a little bit about the sort of the clarity of your client base to look at your platform modernization. Is that sort of bringing people in? Can you give us an update on the platform modernization process?
Gary Norcross: Let me start, and let's let Woody get to the specific percentage of total revenues at SaaS. I mean, I'll remind you on capital markets, this was a very detailed transformation that we drove through in our capital markets business. It started at the acquisition of SunGard, moving it from a product company to a solution company and then deploying those solutions through a SaaS-based model. When we bought the company, it was in the low-60% reoccurring revenue. And most of that recurring revenue was in the form of either a processing fee or in the form of a highly recurring maintenance fee. So we wanted to transition that business and really start deploying capital markets once we built all the solutions and modernize them and put them together through a more SaaS deployment.  The team has done an excellent job of that. We've continued to accelerate our SaaS-based recurring sales model. It was up 8% this quarter alone. You've seen that very consistent, Ashwin. We've been holding our license fees flat. So what we've been trying to do is we run a little over 300 million license fees a year. We don't want to dig the whole while we're growing through the transformation. This is the exact playbook that we executed in the banking business decades ago.  So the customers are very willing to take advantage of our processing environment, our SaaS deployment and our modernized solution. And the reason why is because, as Stephanie commented when we were at the user conference, what you're seeing large financial institutions are realizing, processing is no longer a differentiator. Total cost of ownership, speed to market, resiliency capabilities is where they're going to differentiate. And the capital markets business is very well positioned to take advantage of that.  So over the last couple of years, we managed to grow that, Woody, from 60s to -- 
James Woodall : Yeah. When we bought the asset, it really was about 60% in terms of the recurring or SaaS percentage there. Coming out of the first quarter, it was a little over 70%. 72% was the actual number, continuing to see that grow overtime. We anticipate that to grow into the 80s and even look closer to banking over time with a reduced license and PS being the only other component of revenue in that group.  So very pleased with the enhancement structurally around that, also the visibility. And as we've talked about before, it's enhancing the growth profile.
Gary Norcross: Yeah. I'll remind our investors, this is a business that, at some point in time, we will start discontinuing license fees. So right now, we're renewing these term license with existing customers. We're taking on very few new logos through the licensing channel. All of our new logos are coming in through our SaaS-based model, which shows the strength of that product and how many actually new customers were also bringing into the mix.  But there will be a point where we'll start discontinuing the license model, and then that will accelerate it, to Woody's point, of where it will be upper 80s, perhaps even low-90s. And you'll have a very, very small percentage of license business going forward.
Ashwin Shirvaikar : Thank you, for all the detail. Appreciate it. 
Operator: Thank you. Our next question will come from Dan Dolev with Mizuho. Please go ahead.
Dan Dolev : Hey, thanks for taking my questions. So this was actually a really good clean quarter, and congrats on this. I do have a question, I think, maybe more for Stephanie on the merchant acquiring side. Can you -- I know it was asked before, but can you help bridge the 200 basis point share gain versus Nilson and kind of what we're seeing versus the network, more from an enterprise/debit mix? Because I mean like the narrative last year was enterprise is really strong, debit was very strong. So maybe you can like parse out a little more in terms of like debit versus credit? And how much does that affect the kind of the discrepancy or the apparent discrepancy maybe?
Stephanie Ferris : Yeah. So happy to, happy to. So I think, first of all, let's start with Nielsen. So if you peel-part Nilson, which is really where you can understand share gain and loss because, and in fairness, I understand, as we all went through the pandemic, we had to try and tie ourselves to Mastercard and Visa, but portfolio mix really does matter here.  And so if you look at The Nilson Report, you can see we gained share. But clearly, the share loss is coming from smaller non-scaled acquirers, which isn't surprising, right, in terms of the level of technology, the level of complexity. It's somewhat of the same story that's been going on within merchant acquiring for a number of years. But you can clearly see that the share loss is -- the share gainers are really the large-scale players, and the share loss is coming from smaller players.  Obviously, there are some small players that are doing well, but that's the general trend. Now when you look at our portfolio and you think about fourth quarter to first quarter, and so I don't really -- and this is going to be maybe tough to absorb. I don't really spend a lot of time thinking about Mastercard and Visa. I think about our portfolio makeup. And if you think about the merchant book, we're almost 30% global e-commerce, about 45% large enterprise in UK and then 30% SMB.  So if you think about the fourth quarter to the first quarter, when you think about, we grew volumes 17% in the fourth quarter and 11% constant currency or 10% in the first quarter, really that step down to me is normal seasonality based on the mix.  So if you thought about 45% of our business or -- and you added in the SMB space, which is brick-and-mortar, you got to think about the holiday season. So I'll just walk back through it. Like you start at 17%, you had 6 percentage step-down fourth quarter to first quarter from retail and grocery. That's just holiday spend. That's normal seasonality holiday spend, that if you go back out of the pandemic, we always have both revenue and volumes trend down in the first quarter. Then we got a point of travel benefit, travel and airlines, but we're not nearly as big in travel and airlines as everybody else, but that's obviously been impacting yields. So we did get a point benefit there. And then we had a little bit of miss and match in other places. Someone mentioned crypto, but it's just not that big. So if you think about that, to me, it's more around seasonality, fourth quarter to first quarter. And then Nilson really talks to you about where you see us gaining share and who's losing share. The MasterCard volume, these trend, I just -- for me, I don't think about our business that way. That is a GDP grower around the world. And so they make up the whole world. We make up a certain segment of the world. And so that's how I really think about it.
Gary Norcross: So Dan, just kind of to build on that, if you think about our enterprise business, to move 200 basis points, you've got to take a lot of transaction volume to do that. And that's where our enterprise play comes in.  We've highlighted over throughout the pandemic, strengthen our sales engine in enterprise, right, and in e-com. And so you're just really seeing not only the large enterprise share gainers, right, that Stephanie referenced, but also our success in coming out of the pandemic reinvigorating our sales engine in enterprise as well. So all of those things are playing a contribution to the 200 basis points. The question around debit and credit in our enterprise play specifically really doesn't have a play. Plus it really doesn't for us. It really doesn't matter. For us, we're there to capture transactions. And whether it's presented as a credit or a debit transaction, really, our fee structures are very resilient in that. So you've got great stickiness in the enterprise because of scale. We have very, very low turnover.  So clearly, what you've seen is just us taking share through the sales engine. Our large existing enterprise customers taking share through their scale and then the resiliency of the revenue stream credit and debit really, we're virtually immune to . It's really more transaction-based than volume-based.
Stephanie Ferris : Yeah, apologies. Dan, I missed the debit credit. I agree with Gary. There's -- because of our large-scale players, we don't have a skew to debit-credit. So it just doesn't matter for us.
Gary Norcross: That's right.
Dan Dolev : Perfect. Can I squeeze in a very short follow-up? As you look throughout this -- thank you for the detailed answer. As you look through your portfolio, where do you see the biggest opportunity for price increases in your -- maybe in your SMB book or anything? Is there any specific vertical or anywhere where you could say, hey, we could actually increase prices, we're below market. Thank you. 
Stephanie Ferris : Yeah. I think -- look, we're up in the large space. So if you're a global e-commerce or large enterprise, as everybody knows, those are scale players who demand the price that they demand. The good news for us there is there's only a couple of us that can play there because you need scale. I mean historically, I think this industry has looked at SMBs in terms of a place you can increase price. I think we've seen -- we continue to have that ability. There is no pressure there. I think you probably heard that from other people. But I think there's a big pricing lever sitting in our book today. I don't. I think it's the same amount of opportunity. It's always been. I don't see anything significant or new, but it's always there, and we always take advantage of it when we can.
Dan Dolev : Thank you. 
Operator: Thank you. And today's final question will come from James Faucette with Morgan Stanley. Please go ahead.
James Faucette : Thank you very much. I appreciate all the details on the business. My questions are primarily around CapEx and capital allocation. First, did I hear you correctly, you say you expect to buyback $6 billion in 2023? Or is that across 2022 and 2023?
James Woodall : No. We anticipate buying $3 billion in 2022 stand-alone and utilizing all free cash flow in 2023. Excess free cash flow would be buying $6 billion in 2023. The combination of those 2 will be about $9 billion or about 15% of our current market cap.
James Faucette : Got it. Got it. Got it. Okay. I wanted to make sure I understood that correctly. And then when you talk about like being able to bring down CapEx as a percentage of revenue, can you give a little detail as to like where investment has been made that you can kind of allow the growth in revenue to increase in such a way that you don't need to continue to match that growth in overall capital spending?
Gary Norcross: Well, look, James, I mean, we've been in business for a very long time, right? So as you think about it, a lot of technologies in financial services are based on historical legacy platforms.  We took we pivoted the company back in 2015 to really start focusing on the next-generation capabilities that we're going to need to be -- that you're going to need to compete for the next 20-25 years. And so as you start looking at, whether it was in the merchant platform where we invested heavily in the new acquiring platform, and access Worldpay, we've got that fully online now; whether you look in the banking sector and you look at what we've done around modern banking platform, which is the most leading technology for cloud-native core banking system in market.  You've seen that with our wins, but look at what we did on Payments One, which is a cloud native issuer platform for both debit, credit, prepaid. You then move into our Digital One, our omnichannel experience that wraps around those capabilities, once again coming fully online in market and then our CodeConnect platform for our micro services layer.  You then move into what we did in Capital Markets, where we really leaned in our solutioning about bringing our capabilities and launching that in the cloud to leverage both buy-side and sell-side type capital markets capabilities on SaaS deployment, that all boils down to we're wrapping up those programs. And so we increased our capital starting back in 2015. We were running at about 5%. And we ramped that up to, I think, as high as 11% of total revenues. And as those platforms have now come to conclusion, you would expect those investments to come down. Now what we've all talked about, we'll maintain that around 6% to 7%. We think there's an opportunity to continue to lean in and add functionality and continue to grow and expand our revenue growth and our share. But all programs come to a natural conclusion. And we're just on the back side of the modernization of our solution stack. Now we do have a historical back book that, at some point in time, we'll start migrating. Stephanie highlighted some of the stuff we're already doing in banking. We've migrated more than 1,500 of our clients to Payments One as an example. But more to come on that as we upsell and migrate our existing customers to those capabilities.  But we feel very good about our competitive position. You see all of our segments growing and taking share by various metrics. And so at this point in time, we're just -- we're wrapping up a lot of these platform transformations.
James Faucette : Yeah. No, that's got to feel great to get past seven-plus years of extra investment. Thanks for that. 
Gary Norcross: Yeah. No, exactly. Exactly. We feel great about it.  Well, look, I want to thank you for joining us this morning, and thank you to our dedicated colleagues for another strong quarter. Before we conclude, I wanted to give a special thanks to our team for hosting a very successful Annual Client event. We had over 4,000 participants. This live event was a remarkable showcase of our solution suites to industry leaders. We are grateful to be interacting in person where our client-centric culture truly shines.  Feedback from the event has been exceptional, as clients and prospects learn how our innovative capabilities can solve their most pressing business needs. We remain committed to providing world-class technology solutions to our clients so that we can stay ahead of the curve. This commitment will lay the foundation for our growth in 2022 and beyond. If you had any further questions that were not addressed on this call, please reach out to our Investor Relations team. Thank you, and I hope you enjoy the rest of your day. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. 